Operator: Good day, everyone, and welcome to the Entegris Fourth Quarter 2012 Earnings Release Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I'd like to turn the call over to Steve Cantor, Vice President of Corporate Relations. Please go ahead.
Steven Cantor: Thanks, Dave. Good morning, everyone. Thank you for joining our call. Earlier this morning, we announced the financial results for our fourth quarter ended December 31, 2012. You can access a copy of our press release on our website, www.entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, which are outlined in detail in our reports and filings with the SEC. On this call, we will also refer to non-GAAP financial measures as defined by the SEC in Regulation G. You can find a reconciliation table in today's press release, as well as on our website. On the call today are Bertrand Loy, President and CEO; and Greg Graves, Chief Financial Officer. Before we begin, I also want to mention that we will be participating in the Stifel, Nicolaus Investor Conference next week and the Sidoti Conference in March. Bertrand will now begin the call. Bertrand?
Bertrand Loy: Thank you, Steve, and good morning, everyone. I will make some comments on the year's achievements. Greg will then provide some detail on the Q4 financials, and I will come back with some comments on our outlook and guidance for Q1. Even with the headwinds facing the industry and global economy, 2012 was a good year for Entegris both operationally and financially. We set out at the beginning of the year with a number of goals. We wanted to grow faster than our markets, generate strong cash flow, position our technology on the industry's road map in a more meaningful way than ever before and to continue to leverage our technology in new applications outside of the semiconductor market. I am pleased with what we achieved in 2012. Let me provide some more detail on each of these 4 objectives. First, our 2012 sales were $716 million, which was down 4% from a year ago but still compared favorably to the markets in which we participate. The semiconductor industry began 2012 with a modest recovery in demand but experienced precipitous drop in capital equipment spending and fab utilization in the second half. The rapidity and the magnitude of the CapEx contraction were very similar to what the industry experienced in the severe downturns of 2009 and 2001. Against that as a backdrop, we are pleased our semiconductor sales, which accounted for 74% of our total revenue, declined by only 3%. Second, in terms of cash flow and financial results for the year, we achieved an adjusted operating margin of 16%, a non-GAAP EPS of $0.55, and we generated $115 million in cash from operations. These numbers are in line with our target model given the industry's slowdown and our decision early in the year to sustain critical investment. Having said that, our performance in the fourth quarter fell short of our expectations. As Greg will discuss in more detail, our fourth quarter included some negative impacts on our gross margin, as well as severance costs stemming from actions to realign parts of our organization. Third, our efforts are paying off to expand our relationships with the industry leaders and to integrate our technology on their road maps more extensively. The technology and economic challenges facing our key customers are immense. Because of these challenges and our efforts to engage with our customers in a more compelling way, Entegris is increasingly seen as a critical strategic partner that can enable the customers' processes and tools, unlike any other supplier in our space. This past year alone, we had more collaborative projects with the industry-leading companies than ever before and have customers across the ecosystem coming to us for our expertise in contamination control to help them ramp 2x and 1x process nodes. These interactions will have benefits well into the future, but in the short term, the compelling proof of our success is that we grew our revenues to the leading device makers by more than 40% in 2012. This is particularly noteworthy given that fab utilization rates for much of the industry remained low in the second half of the year. What's driving this success is the acceptance of our solutions which are enabling 2x processes. In 2012, sales of our filtration -- or liquid filtration and flow controller products were at record levels, and sales of our FOUPs almost reached an all-time high. Given the industry road map, we see these favorable trends continuing. For example, our filtration and purification business, which accounted for about 40% of our total revenue in the year, is already seeing very strong initial acceptance of new solutions developed for 1x process nodes. Fourth, we significantly expanded our product portfolio to leverage our technologies in new markets. For example, in LED, we developed new on-tool purification capability or MOCVD process tools and new chamber crucibles made using our silicon carbide materials. Several of these projects are currently being evaluated by customers. Clearly, the LED, solar and some of the other emerging markets had a very challenging year in 2012, but our new products position us well for growth when these markets eventually recover. Coming out of 2012, we have a lot of confidence in our strategy and our future. Our customers' engineering teams typically use downturns to accelerate development of new technologies, and I believe we have made the best use of this opportunity in the second half of 2012, which puts us in a great position as the industry recovers in 2013. Greg will now provide some detail on the quarter.
Gregory B. Graves: Thank you, Bertrand. Good morning, and thank you all for joining the call. In the fourth quarter, sales of $168 million were at the midpoint of our guidance and were down from Q3, as anticipated. Excluding severance costs of $2.4 million or $0.01 per share, our non-GAAP EPS would have been $0.10 or at the low end of our guidance. Just in the Q4 quarter performance by division, sales for the Contamination Control Solutions division or CCS declined 2% sequentially to $110 million. Revenue decline reflects weakness in sales of fluid handling components to OEMs, offset in part by record-high quarterly sales of liquid filtration products. Operating margins for the CCS division were 20.3% versus 24.1% in Q3. The decline was largely attributable to lower factory absorption and unfavorable mix. After a particularly strong quarter in Q3, sales for the Microenvironment division or MEE declined 22% sequentially to $43 million. Decline was expected given the softer industry conditions and a tough comparison against Q3, which included several large FOUP shipments and onetime IP licensing revenue. MEE's operating margin was 15%. Sales for Specialty Materials or SMD declined 13% to $15 million. The decline was a result of a very weak semiconductor equipment market for SMD products, as well as continued weakness in the solar market. While SMD's operating margin declined to 7%, it was consistent with our expectation given the revenue level. We experienced several factors that adversely impacted our Q4 operating results. Gross margin of 40% included the impact of reducing manufacturing output downward in reaction to lower customer demand levels and also to reduce finished goods inventory in anticipation of continued slowness in Q1. The lower absorption of fixed costs accounted for about half the shortfall in gross margin. The remainder of the margin shortfall is related to customer and product mix. For Q1, we expect these factors to moderate and anticipate gross margin to be approximately 40% to 41%. Operating expenses for Q4 were $50.2 million. This included severance costs of approximately $2.4 million related to organizational realignment. Excluding these costs, OpEx would have been at the low end of our guidance and reflected a balance of tight control over discretionary costs while sustaining investment in both R&D and critical customer-facing initiatives. Moving into 2013, we expect operating expenses to be approximately $47 million to $48 million in Q1. Our GAAP tax rate was 24% in Q4 and 31% for the full year. The lower rate in Q4 reflected a more favorable geographic mix of income. For 2013, we are planning for a rate of approximately 28% to 30%. Q4 EPS on a non-GAAP basis was $0.09 per share. This includes the $0.01 severance charge but excludes the amortization expense. We continue to have very strong working capital management, and as a result, we generated $38 million in cash from operations for the quarter. Strong cash flow, both for the quarter and the full year, boosted our cash and short-term investments to $350 million, which is up $35 million over Q3 and up $77 million from a year ago. As we move into 2013, we are committed to use our cash strategically to increase long-term shareholder value. This includes meaningfully reducing our outstanding share count over time. To this end, the board has approved a new $50 million share repurchase plan, which will enable us to opportunistically repurchase stock. This replaces an existing authorization and trading program we've put in place last year. Moving forward, we have adjusted the price targets for our repurchase plan and would expect to be buying shares in Q1. In addition to share repurchases, we tend to be opportunistic in making strategic and more focused acquisitions to fill technology gaps, enable our diversification efforts or expand the product line in our CCS division. In addition to share repurchases and potential acquisitions, we are using our capital to complete 2 ongoing projects: our i2M advanced membrane and coatings facility and our 450-millimeter technology center. Capital spending in 2012 was $50 million. For 2013, we are planning for CapEx of $60 million to $70 million, which includes about $25 million of maintenance spending and approximately $40 million for the 2 projects. Depreciation expense was $7.2 million in Q4. Before turning the call back to Bertrand for comments on business trends and our outlook for the first quarter, I'd like to highlight 2 key points. In spite the difficult industry environment, we are executing our strategy well and are seeing growth in key areas related to advanced process nodes, and we continue to generate strong cash flow and are strategically deploying our cash with the new $50 million buyback plan that will enable us to repurchase shares in a deliberate and opportunistic manner. With that, I'll turn the call back to Bertrand.
Bertrand Loy: Thank you, Greg. As we look to 2013, we are getting more optimistic about the outlook for the semiconductor industry. We see 2013 as another year of critical transformation as the industry invests to support the continuing rise in mobile computing,  changes to the fab-less fan remodel, and ongoing major technology developments in EUV, 450-millimeter wafers, 3D and 1x process innovations. Earlier this month at ISS, Intel displayed a fully-patterned 450 wafer. This key milestone generated much interest and excitement in the industry as it confirmed the timing of the 450 wafer size adoption, which could result in pilot manufacturing as early as 2015. We will be ready. We are working closely with the industry-leading players on 450-millimeter, another next-generation technology. While the adoption of EUV lithography may be slower than originally hoped for, we are well positioned when this technology is adopted. Until then, broader deployment of double or triple patterning that use current 193 wavelength technology is good for Entegris since it requires more dispense and cleaning steps in the process. Given its stronger than anticipated CapEx plans announced this month by the leading fabs, we are cautiously optimistic that the cycle is bottoming and that the industry's poised for a stronger second half in 2013. As such, we expect Q1 sales to be in the range of $160 million to $170 million. Given these revenue levels, we expect non-GAAP EPS to be between $0.08 and $0.11 per share. Before we take your questions, I want to leave you with these points. The factors which negatively impacted our Q4 results should moderate, and we expect margins to improve in the first quarter. We are working on exciting opportunities that enable the industry to move to the next node. As a result, we expect to be one of the major beneficiaries of the upturn in 2013. We have a new capital allocation strategy in place to increase long-term shareholder value. Operator, we'll now take your questions.
Operator: [Operator Instructions] And we'll take our first question from Krish Sankar with Bank of America Merrill Lynch.
Krish Sankar: A couple of them. Did you guys tell what your consumables and CapEx was in Q4?
Bertrand Loy: Yes, we do. Actually, the ratio was about 69% unit-driven for us and 31% was CapEx-driven, which is a ratio that is typically indicative of a downturn. Just as a note here, the last time we've seen a ratio of that magnitude was in Q3 2009.
Krish Sankar: Got it. And then how do you expect that to trend in the March quarter?
Bertrand Loy: I would expect the ratio to be essentially the same with, hopefully, some pickup on the CapEx front as we start seeing some OEM orders coming our way.
Krish Sankar: Got you. And then along that path, have you guys actually started seeing any OEM orders come through, or are you still anticipating it?
Bertrand Loy: Well, it's a good question. I think what we're saying is that our shipment's still -- as we start Q1, the shipments are relatively low, but we've seen some increased momentum on the order front. So it's a little hard to read right now. We'd expect probably some more clarity after the Chinese New Year, but I think we have all indications that we are already bottoming out and reaching an inflection point in our business.
Krish Sankar: Got it. And then just a final question on the Specialty Materials side, I understand that has a mix of both semi and industrial in it, but if we look at your 2012 quarterly progression in that business, it seems to have followed the semi CapEx trend where it's been down in the second half of last year. Should we assume that the Specialty Materials would also follow the semiconductor CapEx trajectory in 2013?
Gregory B. Graves: Yes, there is no question that the back half of this year was heavily impacted by declines in semi-cap equipment, and that primarily related to a lot of their products are sold in the ion implant application. We would expect that -- the other place that that business was really weak, particularly in the back half of this year, was on the solar side. As we come into 2013, the patterns in that business, I would say, should follow -- if we see some improvement in semi-cap equipment, we'll see some very good improvement in that business. And that business, as we've talked about before, from an operating leverage standpoint, has our greatest amount of operating leverage, so as we see that come back in semi-cap equipment, we should see a decent pickup in the profitability as well.
Operator: And we'll take our next question from Patrick Ho with Stifel, Nicolaus.
Patrick J. Ho: Bertrand, maybe just a kind of bigger picture question as you talked about in your prepared remarks about the content of Entegris' products at each successive technology node. What's your thought right now as the foundry segment goes to 16 and 14 nanometers with thin set technology, what kind of step up, percentage-wise, do you see in terms of the, I guess, the increasing use of your products with that technology node?
Bertrand Loy: Well, I think for that technology node, it's a little early for us to really -- in a number. Again, a lot of that work is still very much in development. Having said that, the way I would answer the question a little bit more broadly is if you look at revenues coming from our new products, it would represent about 25% to 30% of our total revenues. And most of those new products have been developed with node of 3x and below in mind. So as you can see, we are very much node-driven, and we have a lot of exposure to the leading-edge fabs.
Patrick J. Ho: Right. Two-part question on the i2M facility. I think in the past, you said it would be operational in 1Q '13. I guess first question is an update on that status. And secondly, maybe for Greg specifically, how do you see, as that facility begins to ramp, the potential impact to the gross margin line given that it's at the early stages. There may be, I guess, startup costs and all that. How do you see that impact, I guess, affecting the overall corporate margin profile?
Bertrand Loy: Let me give you the answer to your first question, and I will let Greg answer the second question. The first question was around the timing of the opening of the facility. And just, again, to make sure you're clear on that, there will be a number of different technologies that will be developed and manufactured into this facility, so there will be some specialty coating products and check products. I would expect most of those product lines to be transferred around the end of this year, 2013. And then the overall membrane manufacturing is a longer process for us that will require a fairly extensive customer requalification, and that's the one that would -- won't be up and running until the end of Q1 of 2014.
Gregory B. Graves: And then with regard to the transition, I mean, we wouldn't expect to see -- in the first half of this year, we wouldn't expect to see much at all. As we move into the back half of 2013, we will have a transition cost of $2.5 million to $3 million, which will have a small impact on our gross margins in Q3 and Q4.
Patrick J. Ho: Great. And then final question in terms of your cash allocation strategy. I think you've provided good clarification in terms of your buyback, your M&A activities. Are those the 2 primary, I guess, functions, or are there other, I guess, avenues, whether it's dividend given your strong cash flow? Or are those 2 that you've mentioned already the primary focus for cash allocation on a going-forward basis?
Gregory B. Graves: Patrick, sitting here today, those are our 2 primary areas of focus. I think as we've talked to you and others, I mean, we've said we've considered the dividend, but it's certainly not anything that we would plan to implement in the short term.
Operator: And we'll go next to Terence Whalen with Citi.
Terence R. Whalen: I believe in the prepared comments, you made a remark that revenue at the leading customers grew 40% annually. I believe it was a comment to that effect. I was wondering if you could help quantify the portion of sales, what you were referring to there.
Bertrand Loy: Terence, this is Bertrand. Yes, you're correct. What we said is that if you look at the leading-edge fab customers, our revenue year-over-year grew 40%. I won't go beyond that. I will not give you exact customer names that add up to that grouping, but we just wanted to give you some idea of the trajectory of our sales and, again, give you some -- different perspective on how much exposure we have to the leading edge and, again, how much our business is really node-driven.
Gregory B. Graves: And Terence, we did talk -- I mean, to put it in broad perspective, we've talked about our top 3 customers. In 2011, they accounted for 14%, 15% of revenue. And as the industry becomes more and more concentrated, when we moved into 2012, those same top 3 customers accounted for about 20% of revenue.
Terence R. Whalen: Okay, terrific. That's helpful. And then, perhaps, as a follow-up question, I believe you did refer earlier to there being some delays in EUV and that having some effect on some of the more advanced filtration. Can you just give us a prognosis for some milestones to look for to -- for some of the advanced filtration products for investors over the next year?
Bertrand Loy: I'm not sure I would be really very specific in terms of the milestones. I mean, the way I would want you to look at this is that every time a leading-edge customer is actually transitioning from one node to another, typically, more process steps are being used. And then typically, every time they transition from one node to another, we see some increased pressure on their yield. So everything that we do is really around enabling yield optimization for those customers, and every time they transition from one node to another, we very often are in task force mode with them to define -- first of all, to understand the root cause of their yield challenges and tailor solutions to help them optimize their yields. So it's, again -- so I think it's a very positive trend for us. It's not something that I can easily pin, in particular, deliverables and time frames. But I will tell you that again, we are engaging in much more collaborative work than before, and I think that the opportunities for our products will be much more substantial going forward than they were, say, at the 6x nodes.
Operator: And we'll take our next question from Avinash Kant with D.A. Davidson & Co.
Avinash Kant: A few questions. Did you give out your breakdown of revenues by region?
Gregory B. Graves: Actually, we did not, but I can, if you'd like that. By region, our revenue for the quarter was 39% Asia, 17% Japan, 31% North America and 12% Europe.
Avinash Kant: Okay. And one quick question on the guidance, especially on the EPS front. In one of the most recent presentations that you made at a conference only 2 weeks ago or so, I was looking at the slides, and you had said that on $170 million in revenues, you're kind of giving us the operating margin assumptions and the earnings per share on a non-GAAP basis was roughly between $0.11 to $0.13. So of course, midpoint comes around $0.12. The high end of your guidance at this time on the revenue front is $170 million, exactly $170 million, but the EPS guidance at the top end is $0.11. Now, of course, it's minor, but $0.01 for you makes a difference given that 138 million shares. So is that something that has changed, or is that something that is conservatism?
Gregory B. Graves: No. I would say the latter, to be conservative, but I do want to say -- I mean, our guidance is that $0.08 to $0.11. I mean, I look at the target model, and as you point out, at $170 million, we look for an operating margin of 13% to 15% and an EPS of $0.11 to $0.13. And at the top end of our guidance, at $170 million, we're within the range of that target model. I mean, we're still very committed to the target model. If you look at our year overall, we averaged about $180 million in revenue a quarter. We had a 16% operating margin, and that's squarely right in the middle of our target model. So as we move forward, we are committed to that model.
Bertrand Loy: So Avinash, I would just add to that. Again, I confirmed that we are very committed to the target model. I think what you're seeing us do here is really manage short term with an eye on the midterm. And as we stated earlier in the call, we are really counting on an upturn coming our way hopefully as early as Q2. And that's really the top of decisions that we are internally making right now is just making sure that we can do some soft landing, an acceptable level of short-term profit while making sure that we can ramp up and satisfy customer demands when those orders start coming our way.
Avinash Kant: And Bertrand, of course, last quarter is already gone, but some other companies have been talking about a bit lower margin, too, in your space. Has there been any pricing pressure from any other customers?
Bertrand Loy: No. I think it's really around, again, as we discussed, it's really around product mix, customer mix and the fact that we had a fair amount of under-absorption in our plants. And the reason why we had under absorption, again, is our desire to be able to be ready for the ramp when it comes. So no particular pricing pressure or nothing really out of the ordinary.
Gregory B. Graves: I would just add that some of these product transitions, as we move to more and more advanced products, the margins on the products tend to start out lower. And as we refine the manufacturing process, they increase over time. I mean, we've seen that historically, and I expect we'll continue to see that as we move forward.
Operator: And we'll take our next question from Christian Schwab with Craig-Hallum Capital Group.
Christian D. Schwab: Just a follow-up on the previous gentlemen's questions regarding the operating margin leverage, looking at it a different way. If we look at the Contamination Control Systems, we had 20% operating margins this quarter. Mid-cycle, historically, would be somewhere between 23% and 28% operating margins. What revenue range should we be thinking about for that?
Gregory B. Graves: I'm sorry, Christian. Can you -- when you say what revenue range we'd be thinking about for that...
Christian D. Schwab: Right. So historically, your previous target for mid-cycle operating margins on the Contamination Control Systems has been 23% to 28% operating margins, correct?
Gregory B. Graves: Yes.
Christian D. Schwab: Good. I just want to verify that I'm thinking correctly.
Gregory B. Graves: I think that still holds, and really, as you get into revenue levels in that $120 million range, I mean, you go back to Q1 of 2012 at -- Q2 at $123 million in revenue, they were at 28%. Now the other thing you need to recall is when we adjusted our target model last May, the largest beneficiary in terms of spending was the CCS division, and that's very deliberate. I mean, that's our fastest-growing division, most profitable division. So their mid-cycle operating margin will be slightly below what we saw last mid-cycle because of that additional investment.
Christian D. Schwab: Right, perfect. I just wanted to make sure that that was still what I was thinking about, that type of massive leverage on only an additional $10 million to $15 million in quarterly revenue. Another follow-up on capital intensity, maybe looked a different way. TSM has talked about their 28-nanometer volume tripling in 2013 versus 2012. Is there any way for you to quantify, either by wafer starts, the increased spending benefit as we migrate more volume to that node and the yield pressures that they continue to experience?
Bertrand Loy: Good question. This is Bertrand. I think you're asking a very similar question to what Terence asked earlier. And as I've stated then, it's very difficult for us, really, to quantify that. We've tried many different ways internally. We have a lot of product lines that are impacted. As you know, each of them follow different buying cycles, and it's really hard to lump all of that into an easy model, and so we're not really ready to quantify that quite yet.
Christian D. Schwab: Let's make it simpler. It's more?
Bertrand Loy: It is more. And I think as I said earlier to Terence, we know that it's more, and it's more by quite an order of magnitude. And I would say that based on some early internal work, I would just frame it as potentially as much as 2x to 3x, what legacy nodes we'd carry in terms of size of the opportunities available to us.
Christian D. Schwab: Perfect. As we move -- and another question on mid-cycle operating margin leverage. As we look to the Specialty Materials area, another area of big leverage. We've talked about before that mid-cycle operating margins in that business should be 15% to 20%, so more than double from what we just did. What revenue, Greg, should we be thinking that we experience that type of leverage?
Gregory B. Graves: I think we've been pretty consistent. We've said at $20 million, they'll do 20%. I think we'd hold with that.
Operator: And we'll take our next question from Jairam Nathan with Sidoti & Company.
Jairam Nathan: I just wanted to get some more information on the gross margin side. If I look at your 39.6% margin, you had to go back to like mid-2009 for that kind of -- that level. If I look at your inventory levels, inventory didn't decline significantly. It declined $3 million on a sequential basis. Can you give us some more information on the mix, like what -- or an example? It just doesn't seem like it's a big decline.
Gregory B. Graves: Sure. I mean, I can give you a for instance. So as we came into the -- as it relates to mix, as we came into the quarter, we expected the mix in our ME business to be quite different than what it actually turned out. Some of the legacy products in ME -- if you think about when volumes slow down, what really slows down is the trailing edge. In the ME business, some of our stuff, 200-millimeter and below process products, 150 millimeter and below wafer shippers, they have -- those products continue to have very sound margins. In a quarter like this, those businesses fell off precipitously compared to what we would have expected. At the same time, we saw some strength in data storage, which is inherently just a lower-margin business. I mean, that's it for instance. The other thing I would just say commenting on the absorption, I mean, as we came through the quarter, we saw things continue to slow. We clearly slowed our manufacturing facility down to stay in line with customer demand and to keep inventory at moderate levels. At the same time, I would say we haven't gotten to the point where we're overly aggressive -- being overly aggressive about cost cutting on the manufacturing side because we do know that when things come back, they come back relatively quickly, and we don't want to get caught flatfooted. So I guess what I'm saying is if we thought we were going to run at $165 million for the next 3 quarters, you'd see probably a different margin profile because we'd be a lot more aggressive on the cost side, but we do expect things to turn up.
Jairam Nathan: Okay. And given your -- you answered the other question about -- second half could see a $2.5 million to $3 million impact from the -- as i2M kind of comes online. So does that -- should we kind of think at least -- I know your target model is longer term, but for fiscal '13, even at higher than $70 million, your target model talks about 44% to 46% gross margin. Should it be closer to, like, 42% for this year just based on what you mentioned in the second half and what's happening in the first half year?
Gregory B. Graves: I would say we don't give specific gross margin guidance nor does our target model have specific gross margin targets. Our target model recall is really, I mean, a commitment on the operating line. But I would -- my comment with regard to your 42%, I would just say I think that's a little bit too cautious.
Operator: And we'll take our next question from Dick Ryan with Dougherty.
Richard A. Ryan: Greg, a little more aggressive commentary on the buyback. How much did you buy under the previous program? That was $50 million as well, wasn't it?
Gregory B. Graves: It was very little. It was less than $1 million. We had set our price target back in October of 2011 when the stock was trading around $7. We put it in place and kept it in place for the full year. So what I would say this time around, as we have raised our price targets and we've also -- we have more flexibility this year in terms of our ability to change the targets as we move through the year.
Richard A. Ryan: Okay. And I think you just briefly mentioned here earlier, you're not cutting back on the -- or cost controls in the manufacturing side. How about any other discretionary spending activities, whether that's mandatory time off or hiring or travel? What's the status now versus what you're looking at maybe 2, 3 months ago?
Gregory B. Graves: So what I would say, first, I want to be clear. I mean, we're very judicious on the manufacturing side. I just want to make sure that -- I mean, we're not -- we have reduced things, and we did have some facilities that were closed over the holidays. And the comment I want to just reiterate, though, is that we're not -- we haven't been as aggressive as if we thought this was going to be a 3 or 4 quarter at this level. So I mean, I would say we're managing our costs in the plants quite tightly. On the OpEx side relative to 3 months ago, again, I would say we're being equally, if not more, cautious around discretionary spending, T&E, that type of thing. We're not at the point where we're doing things by furloughs or things of that nature.
Operator: And we'll take our next question from Steve Schwartz with First Analysis.
Steven Schwartz: I guess my only question is related to 450 and the recent announcement of major spending on the 450 facility by one of the players. They did say that some of that was going to go to technology. Do you think in 2013, your share from 450 at revenue is going to be 1%, 2%? Can you give us some idea of what share of revenue this is finally going to start the take?
Bertrand Loy: Steve, this is Bertrand. I think you're talking about the share of revenue as a percentage of total ME revenues?
Steven Schwartz: Of ME or Entegris consolidated.
Bertrand Loy: I think I would say that the first division that would benefit from the development work that is happening in the ecosystem is really ME, and I would say that in 2013, the only real impact to the top line that I would expect will be in the ME division. Having said that, I think that the revenue will remain relatively modest. Could it be close to 1%? Yes. That could be probably a good 1% of the ME total revenue. I think that that's probably a fair target. In terms of, again, our positioning, we continue to work very closely with all of the leading players in the industry and continue to receive very good feedback on our product and solutions. So we are encouraged by that.
Steven Schwartz: Okay. When do you expect -- you've mentioned that you think that maybe pilot production could begin by 2015. And at what point in the ramp-up does it start to become a significant percentage of your revenue? Just based on historical trends with 300, 200, 150.
Bertrand Loy: I would say that, again, for the ME products, I would say very late 2014, early 2015. And again, it will depend, obviously, on the overall timing of production by the one customer that you're referring to.
Steven Schwartz: Okay. So it becomes meaningful for you at the pilot level. You don't need to wait for scale to commercial production and adoption.
Bertrand Loy: What the definition of meaningful is, but I would say that it will become more than 1% of the ME revenues towards the end of 2014 and early 2015 is the basis for my answer.
Operator: [Operator Instructions] We'll go next to Jason Ursaner with CJS Securities.
Jason Ursaner: Just first, a question on the near-term industry cyclicality. Expectations have generally been for trough some time in the first half. Has anything changed in your mind on that outlook? I know semi book-to-bill jumped in December, but has there been any talk of the recovery pushing out given the depth of the slowdown you talked about that's in place in the second half of 2012?
Bertrand Loy: As of right now, there's nothing that would change the comments that I made in the preliminary remarks. We still do believe that we will see some improvement in fab capacity utilization towards the end of Q1 and going into Q2. And from a CapEx standpoint, I think you are well appraised of the recent news by all of the major industry participants. And again, from inhibitor customer checks that we've had with all of them, I would tell you that they seem to be very, very committed to the CapEx plan.
Jason Ursaner: Okay. And then I want to concentrate on the commentary around gross margin, I guess, both for the quarter and the improvement in Q1. Greg, you mentioned that half of the impact in the quarter related to the adjusting manufacturing and selling out of inventory. My question is it seems like this happens whenever there's a more meaningful inflection point, and it's not always an accurate gauge for product margin. So is that a fair way to think about it, and is that sort of what you meant by managing costs and not being too aggressive if you thought you'd be running this level all year?
Gregory B. Graves: I think you hit it right on the head, Jason. I mean, it boils down to when the business is moving down and we're at these points in the cycle, hitting the margin exactly right from a forecasting perspective is a lot more difficult. And it's harder to hold the margin. It's harder to make target model on the way down than it is on the way up.
Jason Ursaner: Okay. So then just staying with that, can you talk a little bit about how the company was positioned at the end of the year with respect to the internal stock? And did you go sort of below the comfort level to avoid under-absorption, or is that still a factor you'd expect to impact Q1 and maybe driving some of that conservatism on the high end of the target?
Gregory B. Graves: So our planning is -- so in Q4, we actually -- we reduced the inventory, and so if you think about our manufacturing volumes, they were actually lower than the revenue levels. Our planning assumption in Q1 is that inventory will be flat. So if revenue were the same in Q1 as it was in Q4, our manufacturing volumes would be slightly better.
Jason Ursaner: Okay. And did you say how much you actually sold out of inventory or what manufacturing level for revenue it would have matched for the quarter?
Gregory B. Graves: Our finished goods -- our semifinished and finished goods inventory were down about $3 million.
Jason Ursaner: Okay. And then besides the factory absorption, you mentioned an unfavorable mix in the CCS segment, and I guess I'm a little bit unclear on what that meant, where the fluid handling...
Gregory B. Graves: Well, we mentioned unfavorable mix overall, and I don't know if you heard the prior question. I gave some kind of an example of the dynamics in the ME business, where -- when you think about when we came into the quarter, we were looking for better revenue on some of the legacy products in ME, the 150-millimeter and below shippers, 200-millimeter processed products. And when things are moving down, the parts of the sector that are hurt the most are the trailing edge, and so we saw much lower volumes in some of those legacy ME products than we expected. At the same time, we saw higher volumes in data storage, which is lower-margin products. That's a for instance.
Jason Ursaner: Okay. I guess I'm asking, within the CCS segment, though, would that be signifying any type of price pressure on the advanced liquid filters?
Gregory B. Graves: Yes, I would say no to your price pressure question. Within CCS, I mean, we have a number of product transitions that we're going through, where we're experiencing lower margins as we go through the transition. Usually, as we improve our procurement processes, as we improve our manufacturing processes, that we'll see improvement in the margins of some of those newer products. And I'm very confident that that's going to happen in the CCS business.
Jason Ursaner: Okay. And then just last question for me. For the non-GAAP reporting, I thought you mentioned that the quarter was excluding the severance but is now no longer adding back the amortization?
Gregory B. Graves: No. We're adding back the amortization.
Jason Ursaner: Okay. But you're not adding back the severance in your adjusted GAAP tables or...
Gregory B. Graves: Our GAAP number is $0.08. There's $0.01 of severance, which gets us to $0.09 on a non-GAAP. And then if you were to add the severance back, you'd be at $0.10.
Jason Ursaner: Okay. Was there a reason you guys didn't pull it out of the non-GAAP reported number, though?
Gregory B. Graves: Pull the severance out?
Jason Ursaner: Yes.
Gregory B. Graves: Well, the main reason is I don't want to get in the habit of -- I mean, this quarter, the severance was a big number. I don't want to get in the habit of always having something out in that non-GAAP severance or that non-GAAP reconciliation table other than amortization.
Operator: And that concludes our Q&A session. I'll turn it back over to Bertrand for any closing remarks.
Bertrand Loy: Thank you, Tim, and thank you all for being on the call with us today. We look forward to updating you on our performance and progress in April.
Operator: That concludes today's conference call. We appreciate your participation.